Operator: Greetings and welcome to Skechers First Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn this conference over to your host Skechers Investor Relations. Thank you. You may begin.
Unidentified Company Representative: Thank you everyone for joining us on Skechers conference call today. I will now read the Safe Harbor statement. Certain statements contained herein, including, without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company or future results or events may constitute forward-looking statements that involve risks and uncertainties. Specifically, the COVID-19 pandemic has had and is currently having a significant impact on the company's business, financial conditions, cash flow, and results of operations. Such forward-looking statements with respect to the COVID-19 pandemic include, without limitation, the company's plans in response to this pandemic. At this time, there is significant uncertainty about the duration and extent of the impact of the COVID-19 pandemic. The dynamic nature of these circumstances means that what is said on this call could change at any time. And as a result, actual results could differ materially from those contemplated by such forward-looking statements. Additional forward-looking statements involve known and unknown risks, including, but not limited to, global, national and local economic business and market conditions in general and specifically as they apply to the retail industry and the company. There can be no assurance that the actual future results, performance or achievements expressed or implied by any of our forward-looking statements will occur. Users of forward-looking statements are encouraged to review the company's filings with the U.S. Securities and Exchange Commission, including the most recent annual report on Form 10-K, quarterly reports on Form 10-Q, current reports on Form 8-K, and all other reports filed with the SEC as required by federal securities laws for a description of all other significant risk factors that may affect the company's business, financial conditions, cash flows and results of operations. With that, I would like to turn the call over to Skechers' Chief Operating Officer, David Weinberg and Chief Financial Officer, John Vandemore. David?
David Weinberg: Welcome everyone to our first quarter 2022 conference call. Before we discuss our record quarterly results, I would like to acknowledge the devastating humanitarian crisis in Europe as a result of the war in Ukraine. Together with our employees and partners, we have donated close to half a million dollars to organizations working to provide relief on the ground for the innocent victims impacted. As always, our first concern is the well-being of the Skechers team and the well-being of those impacted by this conflict. This year marks Skechers 30th anniversary, and we are off to an excellent start in 2022 with a new quarterly sales record of over 1.8 billion. We are proud of the accomplishments and milestones we've achieved and couldn't be more excited about what the future holds. Our product offering and the enthusiasm for the Skechers brand have never been stronger. This is clear in the Skechers stores, from London to Los Angeles and Munich to Mumbai and in displays and shops and shops and retailers around the world. It is also apparent in our marketing campaigns, whether it's alongside major events like commercials with Willie Nelson surrounding the Superbowl or being the official footwear sponsor at this month U.S. Open Pickleball Championships and the LPGA’s LA Open here in Los Angeles, or on screens in home, on phones in the mall and city streets. Skechers is truly everywhere. And as consumers continue to embrace comfort along with an active lifestyle. We remain a leading choice as the comfort technology company. Now let me turn to our first quarter results, which include the updates to our reporting structure that we announced two weeks ago. We believe this approach best reflects how we manage and lead our business and will improve transparency in our operational results. More information regarding these changes can be found in our investor website. The first quarter sales record is a remarkable achievement given the ongoing pandemic related challenges we continue to face, including worldwide store closures and supply chain disruptions. Sales grew nearly 27% overall, well balanced between domestic growth of 29% and international growth of 26%. We believe the significant growth was due to the broad base demand for innovative comfort products from consumers globally supported by our impactful multimedia marketing, worldwide team and enhanced infrastructure. Our total international business now comprises 57% of our sales, reflective of our strong brand awareness worldwide. In the quarter, our wholesale business increased 33% led by growth in the Americas and EMEA, both of which grew over 40% in the quarter. Overall, wholesale sales were driven by a 23% increase in units shipped, and an 8.6% increase in average price per unit. Of particular note in the quarter, our U.S. wholesale performance increased markedly due to double-digit improvements across genders and most categories, reflecting strong consumer demand and sell through at retail, as well as improved availability of product and our ability to receive and process additional inventory. For EMEA, the growth was the result of increases across all of Europe. Asia Pacific wholesale sales in the quarter were essentially flat year-over-year due to the weakness in the region, where COVID continued to negatively impact our ability to operate. China grew over 9%, though lower than our long-term targets, a notable achievement given the constraints in the quarter. We expect continued market challenges in APEX throughout the second quarter as governments contend with the impacts of the pandemic. We are confident in the return to historical growth patterns and the long-term growth prospects for the Skechers brand in this region. We invested significantly in increased personnel and worked diligently to process in-transit inventory to our wholesale partners to ensure consumers get the product they want. We value our relationship with a diverse network of retail partners, who have worked alongside us as they recognize the strength and reliability of Skechers. Turning to our direct-to-consumer business, sales increased 60% in the quarter, led by results in EMEA, where sales increased over 150%, primarily reflecting last year's COVID-related store closures and operating restrictions. However, consumer demand for Skechers remain robust across all regions, including the Americas and APAC, which grew by 11% and 8.5% respectively. We saw a double-digit growth in both our physical stores and our ecommerce business, primarily as a result of a 50% improvement in average price per unit from increased demand for a more innovative comfort technology offerings and fewer promotions. In the first quarter, we opened 31 company owned Skechers stores, including 13 in the United States and 7 in China. We closed 41 locations in the quarter, including 12 in the United States and 7 in China, including our 2,958 third-party stores, 77 of which opened in the first quarter, including our first location in Bolivia, there were 4308 Skechers stores worldwide at the end of the period. In the second quarter, we've opened 10 company owned stores to-date, and by year end, we plan to open an additional 160 to 180 locations. Our investments remain focused on supporting our strategic priorities, growing our direct-to-consumer business, expanding the presence of our brand and meeting the needs of our consumers globally. The rollout of our new ecommerce platform continued in the first quarter with the launch of new sites in France and Spain. And already in this quarter, we have launched new sites in the Netherlands and Italy and plan to launch others across Europe, Asia and South America this year. We also continue to invest in our retail capabilities in the quarter by upgrading our POS systems in Japan and Belgium, with the rest of Europe to be completed by the end of the third quarter. These investments further our progress as an omni-channel retailer. We have improved the flow of goods through our North American distribution center and expect to be operational on our LEED certified gold expansion in the third quarter of 2022. We have also finalized the location for our new distribution center in India, which we expect to be opened in 2023 and have recently secured locations for distribution centers in Canada and Chile. We are also planning to open a new distribution center in Panama and expand our distribution facilities in Peru this year, Colombia next year, and China in 2024. Investments in product and marketing continue to result in strong global demand for our comfortable and innovative product. We introduced several new comfort technology collections in the quarter that enhanced our fit and function offerings. We also introduced two new ambassadors Willie Nelson and Martha Stewart and launch campaigns with Chris Carter, Rusty Wallace and Amanda Kloots. This quarter, we announced the global agreement with Pro Golfer Matt Fitzpatrick and pro Pickleball players Tyson McGuffin and Catherine Parenteau who are playing in Skechers pickleball footwear. This growing roster of well-known talent and athletes allows us to appeal to an ever-widening consumer base. And now, I would like to turn the call over to John for more details on our financial results.
John Vandemore: Thank you, David, and good afternoon everyone. Skechers once again delivered record first quarter results exceeding internal and external expectations. The strength of our comfort technology product portfolio, coupled with capabilities derived from the investments we have made in our infrastructure fueled solid consumer demand and global growth. This despite the ongoing COVID-related operating restrictions and shutdowns, supply chain disruptions, and other macro economic headwinds we faced. Before discussing our financial results this quarter, I first want to touch on our new segment reporting structure  As David mentioned, we recently unveiled new segment reporting that reflects how we run and assess the performance of our business, as well as make decisions to support our growth strategies. Commencing with the first quarter of this year, we are reporting segment results for wholesale and direct-to-consumer operations, including our joint venture entities. In addition, we are introducing enhanced geographic sales reporting, including regional reporting, and domestic and international reporting, that we believe will provide improved visibility and greater transparency into the performance of our brand. Historical results for both 2020 and 2021 recast in this format are available on our Investor Relations webpage. Now let's turn to the details of our first quarter financial results and updated operating segment performance. Sales in the quarter increased 27% to a new quarterly record of 1.82 billion, an increase of 385.1 million from the prior year. On a constant currency basis sales increased 29% or 412.2 million. Wholesale sales increased 33% year-over-year to 1.25 billion lead by 43% growth domestically and 26% growth internationally. We saw significant improvements in the pace of receipts and as a result shipments to our domestic wholesale accounts. In addition to strong sell through and higher average selling prices. Direct-to-consumer sales increased 16% year-over-year to 568.3 million supported by growth in domestic and international markets of 5% and 25%, respectively. Several markets saw significant traffic improvement as compared to last year's COVID closures and ecommerce remains a critical component of our overall direct-to-consumer strategy, delivering mid-teens growth globally. We continue to expand our online presence and further invest in our digital and omni-channel capabilities. And now turning to our regional sales. In the Americas, sales for the first quarter increased 31% or 221.3 million year-over-year to 946.9 million strong brand resonance and a significant improvement in the pace of our inbound receipts. And outbound shipments to wholesale customers drove the results, particularly in the United States, which accounted for over three quarters of the growth. In Europe, Middle East and Africa or AMEA, sales increased 49% or 145.7 million year-over year-to 441.2 million as we continue to see recovery in many markets that were heavily impacted by the pandemic last year. We are deeply concerned with the devastating war and humanitarian crisis in the region. As many of you know, we operate through long standing distributor relationships in both Russia and Ukraine, and sales to both countries, which represented less than 1% of sales in 2021 remain suspended. We continue to monitor events in EMEA closely but have yet to see a material change in consumer discretionary spending patterns in the region. In Asia Pacific or APAC, sales increased 4% or 18.1 million year-over-year to 431.5 million led by 9% growth in China partially offset by COVID induced weakness in several adjacent markets. The Skechers brand and our products continue to resonate well in China, where growth was driven by strong ecommerce performance in January and February. However, beginning in March and continuing into April, slower retail traffic patterns and operational limitations have emerged, as China continues to feel the negative effects of the COVID pandemic. We remain optimistic about the long-term health of our brand in the APAC region but we are adopting a cautious view relative to expected performance over the next few quarters. First quarter gross margins decreased 250 basis points year-over-year to 45.3% primarily due to increased freight costs as well as an unfavorable mix impact from higher wholesale sales. These pressures were partially offset by higher average selling prices, which have yet to fully reflect all of the wholesale price adjustments we have introduced. Operating expenses improved 120 basis points as a percentage of sales year-over-year from 36.8% to 35.6%. Selling expenses improved 40 basis points year-over-year as a percentage of sales as domestic selling expenses leveraged meaningfully against higher sales. General and administrative expenses improved 80 basis points year-over-year as a percentage of sales were leveraged returned to our international direct-to-consumer business after last year's COVID-related closures. Earnings from operations increased 12% compared to 2021 and operating margin for the quarter was 9.7% as compared with 11% in the prior year. The decrease was due to the previously mentioned gross margin pressures. Earnings per share were $0.77 per diluted share on 157.4 million diluted shares outstanding representing 22% growth year-over-year. Our effective tax rate for the first quarter was nearly flat to prior year at 20%. Now turning to our balance sheet, we ended the quarter with 819.9 million in cash, cash equivalents and investments. This reflects a decrease of 695.1 million or 46% from March 31, 2021. As a reminder, we fully repaid our revolving credit facility in the second quarter of 2021. In addition, we are feeling the effects of increased working capital requirements year-over-year from inventory and accounts receivable. Inventory was 1.45 billion an increase of 36% or 382.1 million versus the prior year. This balance includes nearly 370 million of in transit inventory, a year-over-year increase of over 50%. Accounts receivable at quarter end were 1 billion, an increase of 211.8 million from March 31, 2021, predominantly the results of higher wholesale sales or particularly over the back half of the quarter. Capital expenditures for the first quarter were 89.4 million, of which 32.3 million related to investments in our new corporate offices domestically and in India, 27.2 million related to the expansion of our distribution infrastructure globally, and 24.7 million related to investments in our direct-to-consumer technologies and retail stores. For the remainder of 2022, we expect total capital expenditures to be between 175 million and 225 million reflecting continued investments in our distribution infrastructure, both in the United States and internationally, omni-channel capabilities and our corporate offices. In alignment with our capital allocation philosophy, we previously announced a three year $500 million share repurchase program. During the first quarter, we repurchased approximately 652,000 shares of our Class A common stock at a cost of 25 million. We will continue to deploy our capital consistent with this philosophy toward investments in our business and direct returns to shareholders. Now I will turn to guidance. We remain confident in our growth strategy. But because of external pressures, including recent COVID-related shutdowns in China, geopolitical unrest, escalating inflationary pressures on both our business and our consumers, as well as ongoing supply chain disruptions, we are incorporating a more conservative outlook into our guidance, particularly in the second quarter until we have more certainty around the length and severity of these external headwinds. For fiscal 2022, we expect sales to be in the range of 7.2 billion to 7.4 billion, and net earnings per diluted share to be in the range of $2.75 to $2.95. For the second quarter, we expect sales to be in the range of 1.75 billion to 1.8 billion and net earnings per diluted share in the range of $0.50 to $0.55. We anticipate that gross margins will be down compared to last year, both in the second quarter, and for the full year, as freight costs will offset improved pricing. However, we do expect gross margins to improve over the course of the year as our previously introduced wholesale pricing takes effect. Our effective tax rate for the year is expected to be between 19% and 20%. Now I'll turn the call over to David for closing remarks.
David Weinberg: Skechers is in great shape as we mark our 30th year in business with record first quarter sales of 1.8 billion following the record sales year in 2021. This growth was the result of quarterly increases of 33% in our wholesale business and 60% in our direct-to-consumer business. notable achievements given the pandemic and macro-economic related headwinds. Consumers want innovation, style, quality and casual comfort at a reasonable price and Skechers delivers on all these attributes. We are the comfort technology company. Our immediate focus along with the safety of Skechers personnel is to continue to deliver consumers what they want as quickly as possible. Our entire organization is working to this end. We're expanding our reach around the world, from shops and shops and key retailers in the United States and many international markets to expanding our offering, with enhanced technologies and collaborations launching this year to new retail stores in Madrid, Peru, the Philippines and other markets, to more ecommerce sites and so much more. As we look ahead, we are also thinking of how we can grow in more sustainable ways, including developing more styles with recycled materials, building our new facilities with energy efficiencies, and addressing other ways we can lessen our impact on the environment. With three decades of expertise under our belts, we see numerous opportunities to efficiently and profitably grow our business. With the momentum we are experiencing, we believe we will deliver record sales in 2022 furthering Skechers toward our goal of 10 billion in sales by 2026. Now I would like to turn the call over to the operator for questions.
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jay Sol with UBS. You may proceed with your question.
Jay Sol: Great, thank you so much. My question is on the guidance. Can you just talk about what gives you confidence to raise the full year EPS guidance? And then just sort of talk about the second quarter guide? Is it different from your original projection that you had, when you first gave the full year guidance? And John, maybe in what way are you being more conservative with that second quarter guidance? Thank you.
John Vandemore: Yes. Thanks, Jay. The confidence derives from what we're seeing in the marketplace, everything from the retail trends, we're seeing both our own and those of our wholesale partners, our backlog. And quite frankly, the robust appetite for the brand we're seeing across the globe. The conservatism, we know, aligns with some of the pressures we called out and really across the globe, but probably most acutely in Asia Pacific and within that region in China, as they continue to contend with the COVID pandemic. We're seeing shutdowns, we're seeing store closures, operating restrictions, we're seeing movement restrictions for goods. So that's impacting our view in China. What you're seeing kind of in the net effect of that is probably more robust input outside of the Asia Pacific market with more conservatism from the Asia Pacific market. And then I would add to that. We have talked about freight being persistently high and higher than we had originally planned. And that's a view that's now incorporated, we think fully into our costs. Obviously, we're going to have to see how things unfold. But that's, an impact we're tolerating. And we're really waiting for some of our pricing to catch up to that just given the delay in supply chain, some of the pricing we had expected to take place and take hold in the early part of this year as being deferred a bit, while we would get those goods processed. The net effect of it, though, is really a continuing and robust perspective on what we think the brand can do this year. That's why we've raised the top-line, and confidence in the EPS guide we gave originally, but obviously, with some offsets and some conservatism in there, in particular, as I mentioned, for the continuing effects of COVID and some of the global unrest.
Jay Sol: Got it. Maybe then, John, if I can just follow up on that one, I'll pass it on. Just to focus on China for a little bit. You mentioned sales were up 9% in Q1, presumably there was a little bit of an impact in the back half of March. Can you maybe elaborate on what kind of growth you expect in China in Q2, and give us a sense of how the lock downs and some of the COVID-related issues that have that are happening there are impacting sales?
John Vandemore: Yes. I don't want to get into country level guidance, other than to say that we definitely saw a very strong January and February and then as we noted in our prepared comments, weakness in March, as the effects of COVID became increasingly acute, that's carried on into April. I would say we're taking a pretty conservative view of what we expect the balance of the quarter, not dissimilar, though not to the same magnitude as what we saw in 2020, when China was grappling with the initial effects of the COVID pandemic. Now, our hope is obviously things get better faster, and that we're able to recover more of what our original expectations for growth were. But given what we've seen, which, again, includes, numerous store closures, operating restrictions and other challenges we're taking a pretty conservative view on China in particular, I should also note, there were effects outside of China, as well, as is not just a one country issue. And as you saw in kind of the growth in Asia Pacific, in the quarter, it was definitely an impact.
Operator: Our next question comes from a line of Laurent Vasilescu with BNP Paribas. You may proceed with your question.
Laurent Vasilescu: Thank you very much. Good afternoon, John and David. I want to follow up on Jay's question. I recognize John, you don't want to really parse out or give guidance at the country level, but with the new reporting segments? How do we think about Americas, Asia Pacific and EMEA embedded in your 2Q of a full year guidance? Any color on that would be very helpful.
John Vandemore: Yes, thanks. Thanks, Laurent, although I certainly anticipated you would go straight to regional guidance, if not country guidance. What I would say is, again, an expectation for Q2 is probably going to be very similar to what we saw in Q1, which is strength in EMEA, strength in the Americas and then challenges in APAC, like born out of the commentary I just provided relative to China in particular, but also what we believe the effects will be on adjacent markets. So if I were to paint a picture, it would be probably similar to Q1 with a more significant effect, in APAC in the second quarter. We do plan for a recovery. We do expect to see a recovery that would be a similar trajectory to what we saw in 2020. So we're using that as a bit of a guidance post. However, I think probably the more important observation I would draw to the guidance is, despite, our second largest single market, experiencing what is arguably comparable challenges to what they saw in the early instances of that pandemic, we're still taking, our guidance up and reaffirming our EPS. So we feel great about the way that brand is performing and I think unhindered, we would have shown, both better results in Q1 and a more robust trajectory, because the brand is that strong, and we're seeing the growth opportunities really across the globe. So we are being conservative in Asia Pacific, but it's not without a lot of enthusiasm for how the brand is performing at a consumer level and what that means outside of the region.
Laurent Vasilescu: That's very helpful, John. And then, last year, Vietnam was a hot topic. Maybe 90 days from now we'll see what how China's evolving with COVID. But just for this call for today, if you can maybe give provide some color and what you're seeing from a supply chain standpoint, like you have a big presence in China. Are you seeing factory disruptions? Are you seeing issues with the ports there? Any color on that would be helpful. And then I have a quick-quick follow up on the 2Q GM?
David Weinberg: Well, I think we see all the above, certainly do a partial degree just like everybody else, no one's immune. But we seem to be doing well enough to get as much good as we can ship, nothing has really changed significantly, it's gone a little up or down throughout the quarter and going into the next quarter. So we still have a significant amount that's impacted, but even a greater amount that's coming in, relatively on time. And we're processing the good news is, we're getting through the ports quicker, both in Europe and South America, and in the U.S. So we're able to process a significant amount. I mean, even with all the disruptions, domestically out of the U.S. and I was kind of surprised, nobody's picking up on China rather than the U.S., which I thought was a great talk for us in the first quarter. We had our biggest shipping month out of our distribution center in Moreno Valley, that we've ever had. So that just gives you an idea of how we can process through this whole issue that's going on.
Laurent Vasilescu: Thank you, David. Just on the on a 2Q EPS guide. I think it's a little bit like versus expectations. John, if you could just parse out like how much we should think about GMs. And how much of it's driven by supply chain versus just the tough comparing the DTC business, which has a higher GM?
John Vandemore: Yes. I mean, the gross margin pressures that we've talked about the freight in particular, as I said, we've kind of readjusted our expectations to kind of this persistent and stubbornly high level. So that's the gross margin pressures, we expect those to continue into Q2. Keep in mind, we also had a pretty substantial mixed lift last year, that because we've grown so much, in particular, on the wholesale side of things, you just get, you're just getting a mixed dilution effect. It's not altogether small. But the big issue on the gross margin level is, is that freight being high in our pricing, over the course of the year, catching up. After that the biggest impact from an earnings per share standpoint is going to be, what we expect to be that performance in China. And that'll cause us to pretty significantly under lever in our international wholesale component of the business. And that's just the effects of seeing sales hampered by, by COVID.
Operator: Our next question comes from the line of Kimberly Greenberger with Morgan Stanley. You may proceed with your question.
Kimberly Greenberger: Okay, great. Thank you so much. It's very clear that the brand has a ton of momentum here. And that's so evident in the top-line. So well done on that. And I just want to say thanks so much for the additional transparency in the segment reporting. I think it's extremely helpful. John, I wanted to follow up on the gross margin discussion. In that 250 basis point decline here in Q1, how much of that or how many basis points if you could help us understand the magnitude of impact with the freight headwinds be? And if you could help us understand what you think the freight impact is likely to be on the full year gross margin? That would be great. And I'm just looking at the segments. It looks like perhaps maybe the freight cost impact is impacting wholesale more than direct-to-consumer. I'm just wondering if you can help us understand why that might be.
John Vandemore: Yes. I mean, I probably don't want to get too far into dissecting the basis points other than to say, the two biggest factors diluting gross margin, were far and away freight first. And when we say freight just for clarification, we're including, all aspects of transportation costs to land products. So there's more than just container race, although that's the single biggest annoyance from my perspective. And then mix which is, a fraction of that. And then, we did take pricing, I don't want anybody to misconstrue that we haven't yet taken pricing, it's just the full effect of the pricing has yet to catch up. And that's going to be the same formula you're seeing across the year. Although, over the course of the quarters, it will get smaller and smaller as that pricing impact, particularly on the wholesale side of thing catches up. Keep in mind when we were adjusting prices, with the order book, as it stands, you're anticipating months in advance. And I don't think anybody would have thought, middle of last summer, when you're contemplating price adjustments, that freight would have stayed as high as it has. And so we're just suffering the consequences of that freight staying higher, much longer than anybody anticipated. And then the pricing catching up. So it's also why we mentioned, you know, we expect gross margin to sequentially approve improve quarter-over-quarter in particular on that wholesale side of the business as that pricing catches up. We don't have the same challenge on timing in the direct-to-consumer side of the business there. As we noted last year, we were able to adjust prices much more quickly. And so you're not seeing as much of that impact effect, the direct-to-consumer side of things, because we've already taken the benefit of that pricing adjustments. So it's helping us out there. So hopefully, that answers the question both contextually with some specificity.
Kimberly Greenberger: Okay, great. That's great color. So for the year, should we be thinking about like a 150 basis point decline in gross margin, an aggregator or any sort of zip code that you could help us get into? And then, beyond this year, would 2023 be a year where you would expect the full benefit of this pricing increases to kick in? And would you expect next year to see sort of full gross margin recovery?
John Vandemore: So to the latter part of your question, absolutely expect the benefit of the pricing to kind of catch up. And that's assuming freight stays higher. All things being equal. I mean, keep in mind, I think it's noteworthy that we're still seeing a fairly strong environment on the direct-to-consumer side of things, low promotions, a low need for promotion. So assuming those all stay stable, we feel really good about where gross margins get back to by the time, the full effect of our pricing takes hold. But like I said, it'll take some time over the course of the year, given that in the first few quarters, as well as the challenge in China that we mentioned, which is usually an accretive gross margin contributor. I don't think we can't get back to at least at this point, don't expect that we can get back to prior year gross margin. So I would anticipate something on the full year that's down, probably not as severe as what we've seen in in this quarter. But definitely not fully back just given the passage of time and the challenges that we've noted in Asia Pacific.
Kimberly Greenberger: Okay, great. Thanks so much. And we look forward to monitoring the situation throughout the year. Thanks, John.
Operator: Our next question comes from the line of Gaby Carbone with Deutsche Bank. You may proceed with your question.
Gaby Carbone: Good afternoon. Thanks so much for taking my question. So kind of piggybacking off a prior question. You mentioned you expect strains in the Americas to continue. Obviously, there's been a lot of concerns around a consumer spending slowdown in the U.S. So was wondering if you could just touch on your thoughts around the U.S. consumer. Thank you.
David Weinberg: Yes. We find the U.S. consumers doing quite well and we continue to have great sell throughs both our own and from what we hear from our third-party retailers as well. So right now, we haven't seen any slowdown, nor any decrease in demand, when product hits our shores and we can get it out. So I know there are other things hanging out there and other macro situations that people are thinking about. But currently, we could certainly deliver more if we get it. So we think our bias is to the upside right now and we'll see as we go forward. And it's certainly held up for us through this month to-date. Historically, April's not a big month for wholesale. And we continue to ship on a very strong basis, not significantly dissimilar to what we did in March.
Gaby Carbone: Great, thank you. Just a quick follow up kind of longer term, just wondering how you're thinking about the SG&A and I know, you've talked about kind of growing that -- as grown SG&A kind of in line with sales. But where do you kind of see the opportunity to lower the rate kind of over time?
David Weinberg: I think it's the same as we've seen in the past. I think the only reason it happened is because we've now woken up to the strength of the brand and how well it's doing universally, and have to make some significant investments, as we said in the prepared remarks, both to our POS to our own retail and to our distribution centers because we're growing at a much quicker pace over a broader spectrum of geography. So we do anticipate that continues. As it is usual, we believe we've accounted for it in some of the commitments we've made for increases both in China, South America, as well as the U.S. in distribution. And should that hold true and we get the efficiencies we're looking for from some of our upgrades, we should start to see that significant as we get through 2023 into 2024. But with us, there's always a caveat, we could always seems to be with the way we're developing a way to marketplace is coming back, increase the pace of growth again and have to step up again. So that would be the only caveat.
Operator: Our next question comes from the line of Brian McNamara with Berenberg Capital Markets. You may proceed with your question.
Brian McNamara: All right. Thanks for taking my question. I'm curious if you could elaborate your buyback and kind of how we should think about that moving forward. It looks like you did buybacks around 38 bucks in Q1, the share price is pretty depressed here. So how should investors think about buybacks? Are you willing to get a little more aggressive given what the stock sundries and despite strong results?
John Vandemore: Yes. I mean, keep in mind, we announced the buyback kind of mid quarter. So we didn't have a whole quarters worth of activity, and we go into our blackout prior earnings. So there's only so much kind of capacity we had to buy. And our approach will be both market sensitive, but also I'd say, readable over the life of the repurchase. We'll be more aggressive when we think fair value, is that a significant deficit to what -- significant premium to what the market is trading at. Otherwise, you can expect to be ratable deployment, I think it's -- we announced it, and we got it into action, and we were happy to be able to take advantage of what was then some pretty depressed prices after today, can only imagine that frame of reference will hold for the near-term. But again, what we're keeping our eye on is the long-term value opportunity we see in the shares. And then, judging our capacity in light of that against where the market is trading at any given point in time and I'm sure you won't find it a shock, but we can definitely feel like there's a disconnect between what we feel the value of shares are what the market is showing currently.
Brian McNamara: Thanks. Just a quick follow up on your enhanced geographic disclosures. I really applaud that. I'm curious, what drove that decision, this kind of a longer-term discussion that you've had over there? I think there's a lot of guesses in the marketplace in terms of your exposures to Eastern Europe and Russia, Ukraine, and the likelihood that war drives the decision or as a kind of a longer-term discussion we've had over the years?
John Vandemore: Look as you can imagine, that's not something you change easily, it requires a lot of pre-work and a lot of effort. And really, we've made a lot of changes all at once. So it comes across as a fairly simple change in reporting but is a reflection of a significant amount of work by the team here. Ultimately, we feel like these segments reflect how we run the business. So we make decisions about the business, they better align, we think with how investors analyze the business in terms of the enhanced reporting, it's often a question we receive from you all, how the business is performing in certain regions. So we thought adding some regional context was going to be helpful. And then I think, also giving a fuller appreciation for the magnitude of our direct-to-consumer business was important. And that's something that wasn't quite as visible as we felt it needed to be in the old reporting structure. So being able to then include the totality of our businesses, including our joint ventures, in the segment reporting framework was important. And our hope is obviously that that leads to as we said, greater transparency to the strength of our brands. Obviously, we feel very good about how our brand is performing and the receptivity it's receiving worldwide. So anything we can do to help provide more visibility into that strength to you and other stakeholders we felt was worth the effort.
Operator: Our next question comes to line of Omar Saad with Evercore. You may proceed with your question.
Omar Saad: Thanks for taking my question. Appreciate all the insight information. A couple of follow ups. Number one, I thought I heard someone say early on and there's some -- when you talked about the conservatism in your guidance and the macro factors affecting your outlook. I think you mentioned some signs of pressures or pressures on the consumer. Are you seeing any signs of that of the inflation hitting the consumer? And then I also would appreciate if you guys could maybe give a little bit of more thought process around wholesale acceleration. I'm sure a big number is going to the channel. Is a lot of that restocking and stocking up from your wholesale accounts and is it accompanied with sell through and are there certain wholesale channels that are winning and others that are losing? Thanks.
John Vandemore: As far as the inflation comment, we're just noting that it's something we're keeping an eye on, as David mentioned and I would reiterate. We have not yet seen any significant pullback in consumer discretionary spending for our customer. Because we're seeing both, strong wholesale sales, but David mentioned, very strong sell through and high ISPs to boot. So, overall, while we haven't seen anything impacting the consumer, we're cognizant of it. We did note the inflationary pressures on transportation costs. And that's something we've already commented on and how it's impacting our business. So those are kind of the two inflationary points, I would address. I think, from a wholesale perspective, in all honesty, Omar part of it was simply the ability to receive goods and process goods. Our supply chain team did a fantastic job once in receipt of goods to process more than we've ever in March. And against some pretty challenging circumstances. So the ability to get the goods in allowed us to process and sell through to our wholesale partners in a way that we just hadn't the capability in prior quarters because of the supply chain issues. It doesn't -- in my perspective is, it doesn't feel like restocking, although clearly there is some restocking going on, because we continue to see very robust sell through rates. And so even if it is a restocking effort, you're seeing itself through at the consumer level and that's something we also see in our own retail stores. Really strong sell throughs to whatever we can get onto the shelves. So overall, I wouldn't characterize it more as robust consumer demand for the product than anything else. But that's my perspective.
Omar Saad: Got it. That's really helpful, John. And maybe you could quickly touch on, did you say 15% of that kind of ASP increases how much of that is higher retails versus lower markdown?
John Vandemore: Tough to tell with any degree of precision, what I would probably say is the same thing we've previously said we believe the majority of it is pricing. And but there's a not insignificant component associated with a more favorable promotional environment, which is something obviously we're watching from a competitive standpoint globally to see what the temperature of promotional activity is, but so far, it seems to be relatively subdued.
Operator: Our next question comes from the line of Sam Poser with Williams Trading. You may proceed with your question.
Sam Poser: Thank you. Thank you for taking my questions. I've got a few like, just housekeeping. And then a more detailed question. One, can you give us where you think the gross margin -- can you give us the gross margin for Q2, or at least the basis points difference versus the prior year, do you expect it to be greater? I mean, just give us more details there, you sort of gave us some stuff on Q1. And then what is the share count that we should use both for the quarter and for the full year? And then I've got two more detailed questions.
John Vandemore: Yes. We don't give precise gross margin guidance for a reason, in part, because it depends on what unfolds in the business, including factors like mix. I would just note, it's more likely to be closer to what it was in the first quarter than it was in the second quarter of last year. Again, keeping in mind last year, we certainly over indexed as a business to our direct-to-consumer. So by virtue of the growth we've seen across the business, including wholesale, there's just some mixed down effect, but also, obviously, the continuing freight challenges. So I point you more toward where we were this quarter because it's a persistent cost issue we're dealing with than anything else. But also note that last year was elevated. For the moment, I would probably direct you towards using the current share count. We don't have any precise plans against the repurchase that we would share in advance because like I said, it depends on where the market trades relative to our perception of fair value. So I wouldn't give you any other guidance on share count other than where we're at currently. And then, we will update that as we progress throughout the year based on our actual repurchase activity.
Sam Poser: And just a clarification, by being similar, you're not talking about down in basis points you're talking in like in the 45.3 range, or are you talking sort of about similar in a year-over-year change?
John Vandemore: Just to be clear, what I said is closer to where we were this quarter than the second quarter of last year. We do expect improvement though, quarter-over-quarter. So we are looking for a sequential improvement as more and more of that pricing take hold.
Sam Poser: Okay. And then, just two more things, one on your supply chain, can you go into some details on to how you really -- what sort of behind the scenes has allowed you to deliver more products more efficiently than others? Or probably more efficiently than others in the quarter? And then, secondly, with the U.S. wholesale business, did you -- was any given you ship so much in q -- in March? Were there April orders that got moved forward into the quarter hands, we probably won't expect another a number of quite as big as, as Q1 was in domestic wholesale in the second quarter.
David Weinberg: Well, to go from back to first, the answer to that would probably be, no. We didn't move anything up. We're still catching up. And we're still trying to catch up at a faster pace. Because I think the demand, especially in the United States, probably in Europe as well. And as you go regionally, probably everywhere but APAC is significantly stronger than most people would have believed, going into the quarter. So we haven't pulled any significant amount forward. As I said, before we continue to ship as well in April. And I guess, I'm trying to come up with what the secret sauce is to deliver. But if we came public with that, we'd have to sell that for a significant amount as we do with this well. But by and large, and for those listening to the call, it's our people. It's our people domestically. Our people around the world are people in Asia that work with the factories and our factories themselves that we've been very close to for a very significantly long period of time, that all work together to get the best possible results that we can.
Operator: Our last question comes from the line of Tom Nikic with Wedbush. You may proceed with your question.
Unidentified Analyst: [indiscernible] here on for Tom, thanks for taking my question. So just quickly, in terms of inflation, I know you said demand has been strong. Do you believe demand could be helped by people moving down from higher price point brands to Skechers as opposed to just standard not shopping at all?
David Weinberg: I think it's twofold. We do have some product that would fall into that category. And I think a lot of people may put us there. But I think the real strength is the quality and the technologies we're putting into our footwear to match the lifestyle. I think we're creating demand for the product itself on a comparative basis, not only on a price basis and a [read-on] [ph]. So I think we get the best of both worlds. And that's what you're seeing around the world as we pick up space on both sides of that equation.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and enjoy the rest of your day.